Operator: Good morning and welcome to ARAMARK’s First Quarter 2015 Earnings Results Conference Call. At this time, I would like to inform you that this conference is being recorded for rebroadcast and that all participants are in a listen-only mode. We will open the conference call for questions at the conclusion of today’s company’s prepared remarks. In order to accommodate all participants in the question queue, the company has requested that you limit yourself to one question and then re-queue if needed. I will now turn the call over to Ian Bailey, Vice President of Investor Relations. Mr. Bailey, please proceed.
Ian Bailey: Thank you and welcome to ARAMARK’s conference call to review operating results for the first quarter of 2015. Here with me today are Eric Foss, our Chairman, President and Chief Executive Officer; and Fred Sutherland, our Executive Vice President and Chief Financial Officer. I would like to remind you that any recording used or transmission of this audio may not be done without the prior written consent of ARAMARK. I would also like to remind you about our notice regarding forward-looking statements, which is included in our press release this morning, can be found on our website aramark.com and is included in our other SEC filings. During this call, we will be making comments that are forward-looking. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties and important factors including those discussed in the Risk Factors, MD&A and other sections of our SEC filings. We disclaim any duty to update or revise such forward-looking statements whether as a result of future events or otherwise. Additionally, we will be discussing certain non-GAAP financial measures including adjusted operating income, adjusted net income, adjusted corporate expenses and adjusted EPS which are adjusted as defined. A reconciliation of these items can be found both in this morning’s press release and on our website as well. Before I turn the call over to Eric, I did want to provide a brief reminder regarding the 53rd week calendar shift. As many of you are aware, in the fourth quarter of fiscal 2014, we recorded a 53rd week in our financials. While it only has a small negative impact for the full year of fiscal 2015, the 53rd week in 2014 actually has a fairly significant impact on the cadence of 2015 quarterly results as each quarter in 2015 starts and ends roughly a week later than the comparable quarter in 2014. In the first quarter of 2015, the calendar shift is estimated to have reduced first quarter sales by approximately 3%, adjusted operating income was reduced by approximately 5% and adjusted net earnings per share were reduced by approximately $0.03. As Fred will detail in a moment, the impact on our North America segment was more significant. You should be mindful of this shift, particularly when making comparisons to prior year results. With that, I’ll turn the call over to Eric. Eric?
Eric Foss: Thanks, Ian, and good morning and thanks, everybody, for joining us. I’m pleased to report another quarter of positive momentum and continued progress on our transformation journey. Keeping in mind the calendar shift that Ian mentioned, our underlying business fundamentals are solid and unchanged from our last update. Our new business wins in the quarter were encouraging and we recorded double-digit earnings growth before the impact of the calendar shift. We remain optimistic about our growth prospects and confident in our long-term framework and we’re clearly focused on continuing to create sustainable long-term shareholder value. In Q1, we saw organic growth of 1%. We estimate the calendar shift reduced this growth rate by about 3%. Taking this adjustment into account, first quarter growth was well aligned with our 3% to 5% sales growth expectations, an integral part of our long-term financial framework. Adjusted operating income in the quarter declined 1% with the calendar shift estimated to have reduced AOI by about 5%. That being said, the adjusted operating income growth in the first quarter is a bit below the run rate we’ve posted over the past several quarters. This relates primarily to the timing of our transformation initiatives, particularly as we move into phase 2 of the transformation where we’re beginning to implement significant frontline operational changes. We also encourage startup cost on several significant education and healthcare accounts that came online in the back-half of 2014. We’ve previously described the timing of large account integration and the transformation investment and initiatives as potentially resulting in some quarterly lumpiness. And you’re seeing a little bit of that in our first quarter. Adjusted EPS in the first quarter was $0.47 on adjusted net income of $116 million. Taking the calendar shift into account, adjusted net income rose double-digit over the first quarter of last year. As we’ve discussed before, our strategy is really built around what I call the principle of three As - accelerating growth, activating productivity and attracting the best talent. And let me share with you our progress and results on each of these three strategic imperatives. First, we remain pleased with our progress around our accelerating growth strategy. Our top line growth in the quarter was fueled by moderate price increases, solid retention rates and strong new sales which were consistent with the last two record years. Significant wins in the quarter reached across businesses and include new healthcare, education and business and industry clients such as Thomas Jefferson University Hospital, Carnegie Mellon University and the U.S. Postal Service. As we look forward, we also remain encouraged by our new business pipeline and the opportunities ahead of us. In Q1, our retention rate remained strong and track consistently with our mid-90s target for the year. On one note related to retention, our client, Live Nation, has informed us that they intend to switch to an alternative provider. Under our contract with Live Nation, we provide food and beverage services to their amphitheatres across the nation which totaled about 1% of our total annual sales. And we’re mostly concentrated in our third and fourth fiscal quarters. While we’ve had a long, productive and positive relationship with Live Nation, they were looking for a different economic and relationship arrangement which didn’t make sense for us. One of the many strengths of ARAMARK’s business model is our diversity and resilience of our business base. And we’ve already put contingencies in motion to minimize this impact. A recent highlight that reflects the strength of our company and our brand was our execution of the recently completed Super Bowl. Many of you know ARAMARK as a food, facility and uniform company but we also have a long history managing retail merchandise programs for 16 professional sports teams and many preeminent sporting events. This year for the first time, the NFL selected us to operate all merchandise for the league’s NFL Experience shop at the Super Bowl. Our work for the NFL is yet another proof point of the scale and exceptional quality of service that ARAMARK team members strive to deliver each and every day. In fact, a recent sports industry survey rated ARAMARK as the strongest food service brand in sports. Our second strategic imperative is to activate productivity savings to reinvest in growth and expand our margins. We kicked off the second phase of our transformation efforts in earnings [ph] during the first quarter. In this phase, we’ll begin the full frontline implementation of many of the food and labor tools, both process and technology-based that will allow us to unlock margin opportunities. As you would expect, the in-unit change process is one of the more complicated undertakings in our transformation roadmap. And it’s imperative that we don’t disrupt our existing high levels of customer service. That caveat aside, we made some great progress in the first quarter with our implementations and we’re encouraged by our initial results. Let me give you a couple of examples of these rollouts to provide some color where our efforts are focused. On the labor front, we’re in the early stages of our rollout of a standard in-unit organizational structure which we expect to reduce labor cost by 1% to 2%. We also continue to install new scheduling technology that will enable us to better manage overtime and agency costs. On the food side, we’re improving our processes to control waste, starting with a more effective ordering and receiving system, more efficient production in the food prep process and proper portioning. Initial locations have reduced waste by approximately 10% to 20% and we’re also implementing a more formal set of standard SKUs that will eliminate SKUs while improving quality. At the same time, we remain focused on consumer insights and trends. For example, we continue to develop our Healthy for Life initiative which I’ve referenced on earlier calls. ARAMARK’s chefs have now created over 1,000 recipes that are under 500 calories and over 600 recipes that are vegetarian or vegan-free offerings. So as you can see, innovation remains an important priority for our consumers and our clients and therefore our company. We continue to see growth in the convenience retailing sector as well, especially across our higher education portfolio. We now operate about 450 convenience stores on college campuses across North America. And we have a plan to add an additional 100 express stores within the next 12 months. The express stores are located in high traffic areas on campuses often in academic buildings. It allows students to fuel on-the-go with convenient and healthy meals, snacks and beverages. As I’ve also mentioned previously, we continue to ramp up our technology investments across our portfolio with the goal of engaging our clients and consumers in real time and using those insights and analytics to drive business performance. In our healthcare business, we’re now using a mobile technology platform called Patient Connect that allows us to survey patients in order to improve service, food quality, cleanliness and other critical indicators before the patient leaves the hospital. The platform includes robust data analytics that allow our team to benchmark patient satisfaction scores and interview responses by the type of patient care, patient diet type, duration of stay and other variables. This technology is adding value to our hospital partners because patient satisfaction is a key component of a health system’s reimbursement rates. In the locations where Patient Connect is in place, we’ve seen a 5 point increase in patient satisfaction. Our third strategic pillar is about attracting the best talent and making sure we create the right culture to enable our employees to build great careers. Engagement, recognition, diversity and training all continue to be center stage on our leading our people agenda. I lead our newly established ARAMARK Diversity Advisory Board to ensure our workforce, workplace and marketplace reflect the culture that values and leverages differences. Recent accomplishments in this area include earning a perfect score on the 2015 Corporate Equality Index, being named of the 2015 Top 40 Best Companies for Diversity by Black Enterprise Magazine, and achieving a top 50 ranking by CAREERS & the disABLED for providing a positive work environment for people with disabilities. We also just learned that ARAMARK was once again recognized as one of the World’s Most Ethical Companies as determined by Ethisphere Institute, a leading international think tank dedicated to best practices in business ethics, corporate social responsibility and sustainability. This is the fifth time ARAMARK’s received this honor and it’s truly a testament to our 270,000 associates around the world who live our core values to act with integrity and respect always. So all in, a good start to the year. We continue to see solid progress in strengthening the foundation of this company and continue on our transformation journey. And with that, I’ll turn the call over to Fred.
Fred Sutherland: Thanks, Eric. Quickly recapping the quarter, as Eric mentioned, sales were $3.7 billion with organic growth of 1% and adjusted operated income in the quarter with $252 million, a 1% decline. Now the calendar shift is estimated to have reduced sales by approximately 3% and adjusted operating income by approximately 5%. Adjusted net income was $116 million or $0.47 a share versus adjusted net income of $109 million or $0.51 per share for the first quarter of 2014. The calendar shit is estimated to have produced adjusted EPS by approximately $0.03 per share and adjusted net income by approximately $8 million. The diluted share account average in the first quarter of fiscal 2015 was 244.7 million shares, up from 215.3 million shares in fiscal 2014, primarily as everyone knows as a result of the company’s IPO in December 2013. Now looking at our business segments in a little more detail, in our North America Food and Support Services segment, sales were $2.6 billion with an organic sales decline of 1% and adjusted operating income was $186 million, a decline of 4% versus the prior year. The North American segment was by far the most significantly affected by the calendar shit in the quarter which is estimated to have reduced sales by approximately 4% and adjusted operating income by approximately 6%. Additionally, the timing of transformation initiatives and some key new account startup cost particularly in healthcare and education, as well as some softness in our Canadian remote services business, influenced the quarter. Sales growth in healthcare hospitality and sports, leisure and correction sectors were strong as 2014 client wins continue to on board. And 2015 first quarter wins remain good. Sales in the international segment reached $759 million with organic growth of 4%. Adjusted operating income for the segment was up 18%. The international segment was modestly affected by the calendar shift in the quarter which is estimated to have reduced sales by approximately 1% and operating income also by approximately 1%. Organic growth in Europe remains positive and both the European and emerging markets businesses made significant progress with productivity initiatives during the quarter. We’ve received a number of inquiries regarding our exposure to the oil and gas clients over the past few months. Generally speaking, our exposure is principally through our remote services operations and is relatively small with less than 5% of ARAMARK’s sales being generated from remote-located energy-related clients, although, these contracts are typically more profitable than average. Our port portfolio is also fairly diversified across the North Sea, the Gulf of Mexico and Canada. Now having said that, in the first quarter, we have experienced some disruptions in our Canadian remote services sites that we service including several camp shutdowns and headcount reductions which will continue until the spring which is the completion of the exploratory drilling season. Our teams are responding to minimize the impact and we will continue to monitor our oil and gas plant base closely. In our uniform and career apparel segments, sales increased to $379 million with organic growth of 3%. Adjusted net operating income for the segment was up 11% from the continued success of our productivity initiatives. Our sales growth in the quarter was affected somewhat by recent changes in our sales and service organizations and by weaker direct sales resulting from a West Coast dock workers slowdown that affected inbound product. We experienced a record level of new install sales in the quarter and expect growth to increase throughout the year. The calendar shift did materially impact our uniform segment. Turning to the balance sheet, total debt at quarter end was $5.8 billion. The company’s total debt for adjusted EBITDA ratio on a trailing 12-month basis was 4.6x in the first quarter, up modestly from Q4 as a result of a normal seasonal cash flow timing and liquidity remains strong. The company had about $400 million of availability on its revolving credit facility at quarter end. We expect continued debt ratio reduction year-over-year prior to the effect of any acquisitions from a combination of higher EBITDA and lower debt. Net CapEx for the quarter was $126 million, up from $77 million in fiscal 2014, largely as a result of several large account wins and key client renewals that were previously discussed, as well as increased spending for capacity expansion in our uniform sector. As I’m sure everybody knows, the U.S. dollars strengthened significantly over the past few months. With the euro and Canadian dollar is down over 10% and sterling down over 5% since our last earnings report. Although we have currency translation on our non-U.S. sales, fortunately almost all of our non-U.S. sales and corresponding costs are in the local currency of the country. So we have very limited currency transaction exposure. As you know, our non-GAAP schedules adjust for currency translation from the relative strength of weakness of the U.S. dollar. But remember that the relative movement will affect the absolute level of our results. Our international sales are about $3 billion annually with approximately 60% in Europe and 40% in emerging markets. Of the European exposure, about a third is in the U.K. with the remainder coming from the eurozone countries and the majority of the emerging markets exposure comes from South America. Our sales in Canada, as you know, are contained within our North American business and represents somewhat less than 10% of segment sales. If currency rates were to remain at current levels, we estimate that the full-year impact on our adjusted EPS to be a decrease of approximately 7%. And as Eric has already mentioned, absent currency translation, our general business outlook is essentially unchanged for the year. With that, I’ll turn the call back to Eric.
Eric Foss: Thanks, Fred. In closing, just let me reiterate our confidence in the ongoing transformation underway here at ARAMARK. In 2015, you can expect us to continue to drive positive growth momentum, make steady progress against our transformation journey, continue to execute against focus strategy we’ve put in place and continue to deliver the sustainable long-term shareholder value that we’ve committed to. So with that, let me turn the call back over to Randy. Randy?
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Andrew Steinerman from JP Morgan.
Andrew Steinerman: Good morning, gentlemen. I know you’re saying on a constant currency basis your guidance for the year is unchanged. Could you tell us what the underlying margin expansion is in the guidance on a constant currency basis? And given the start to the year in terms of margins in the just reported first quarter, how does that kind of give you confidence for the outpaced [ph] margin expansion to come in the balance of the year?
Eric Foss: Andrew, it’s Eric, good morning. Thanks for your question. Let me talk a little bit about how we look at the financial framework and then I’ll talk to our confidence level relative to margins. Again, I think what we said before is the framework in which we run this company for the long-term is 3% to 5% top line growth. That delivers with some margin expansion mid to high single-digit adjusted operating income which translates into double-digit EPS. And that’s the framework we’re going to stay with. We’ve stuck with it since the IPO and we’ll continue to stick with it. We have a lot of confidence in our ability to deliver against that. Relative to margin, here would be my specific comments. I think first of all, we’ve made a lot of progress on the margin front as we’ve talked about in 2014. Our phase 1 journey was completed in 2014 which was a year early. We’re now in the midst of some very detailed planning and a very comprehensive development approach to phase 2. I can tell you we’ve got a very high degree of conviction and confidence in delivering against that program. That program will continue to address food, labor, above unit costs. Again, you’ll continue to see us invest to get more visibility against the key metrics that will allow us to operate more efficiently and compete more effectively in the marketplace. And again, as we look at 2015 - well, let me talk a little bit about first quarter. As we’ve talked about in the first quarter, we did have some startup cost that impacted that. Again, as we win some of this new business and in this instance, both our education sector and our healthcare sector, there was some headwind. I think the good news is that the business continues to evolve. This is good business as it matures but you do have to be willing, if you want to win new business, to deal with that new business headwind. So at the end of the day, we continue to remain highly convicted and highly confident in our ability to continue to drive margin expansion. As we said before, you can expect that in 2015 as well.
Andrew Steinerman: I just don’t understand what’s implied in the 2015 guidance, how much margin expansion is implied in the 2015 guidance when you clean up for FX and you clean up for the calendar adjustment?
Fred Sutherland: This is Fred, Andrew. The calendar adjustment doesn’t really have a major impact on the full year. It’s more of a quarter-to-quarter shift. The impact of currency is pretty much the same on our top line and on our operating income. So we don’t give margin guidance but we would expect that for the full year, as Eric said, we’re targeting to have the 3% to 5% top line growth and mid to high single-digit AOI growth. Again, calendar shifts drops out minor negative effect for the full year and FX does not - has an effect on the absolute level of sales and operating profit but not any sort of material impact on the margin.
Andrew Steinerman: One more question --
Operator: And as a reminder, please limit yourself to one question and then requeue if needed. We’ll take our next question from Flavio Campos from Credit Suisse. Please go ahead.
Flavio Campos: Good morning. Thank you for taking my questions. Just focusing a little bit on North America for a second, why was there such negative operating leverage from that 4% drop from the 53rd week that led to a 6% drop on operating margin - on operating income? And then if you can also help us understand if it’s going to come in, from that guidance you gave from the impact of the 53rd week for the next quarters, if we should be looking for the high-end of that guidance again since we came in the high-end this quarter?
Fred Sutherland: Well, I think the impact on North America of the calendar shift is by far - I mean it’s 90% of the impact on the company. And that’s driven particularly by our education businesses. And outside of the U.S., education is a much smaller percentage of the overall business. And when we lose a good week and trade it for a closed week, obviously it affects our sales, But the drop-through on those sales are higher than our average margin because during that week we have all of our overhead in place, all of our fixed cost. But the unit level margin essentially is gone on those sales. So the impact of the calendar shift on our operating income is clearly more significant than the impact on our sales. And you might remember in our fourth quarter earnings report we had a table at the end that estimated the impact on the top line and the bottom line. And you remember for every quarter, the impact on the bottom line was more significant. So that clearly - before looking at the calendar shift, that clearly has a negative impact on our overall margin. But adjusted for the calendar shift, that margin impact essentially is reversed.
Operator: And we’ll now take our next question from Gary Bisbee from RBC Capital Markets.
Gary Bisbee: Yes, thanks. So I guess just sticking with the theme of the margin, how should we - two part question. How do we think about the longevity of startup losses if it’s been two quarters since a number of those big contracts you’ve announced, is that sort of the window where the losses happened and then you’re driving revenue? And also with it, should we think about it some of the big ones you announced last year or is there an impact from continued new business wins over the last quarter or two? Thanks.
Eric Foss: Sure, Gary. It’s Eric. Let me just say the following. Again, when we announced some of these new business wins, that doesn’t necessarily mean we’re starting that account up on that given day or given quarter. So when we talk about that we’ve announced in the second half of 2014, many of those end up starting up in first quarter of 2015. I think as we’ve talked in the past, the way we’d ask you to think about our startup cost is really startup cost impact, I would say, kind of the first 12 months of that business, particularly in the large startup. So if we’re talking about some of the larger client wins, in most instances, you’re going to have startup cost connected to that business for the first year associated with that particular client. And so that tends to then change as we get into year 2 where you’re breakeven and above. And I think, as we’ve said in the past, as you get into year 3 and 4, you end up in a more normalized kind of average margin rate for the particular sector. And then it creates going forward with an average contract 10-year or client 10-year or something like a decade. Does that answer your question?
Gary Bisbee: Yes, that does. Thank you.
Ian Bailey: Randy?
Operator: We’ll now take our next question from Denny Galindo from Morgan Stanley.
Denny Galindo: Good morning.
Eric Foss: Good morning.
Denny Galindo: I had a question on competition. You mentioned that the Live contract was expiring, I guess, or was lost. First, did that impact Q1 at all or would it only affect the rest of the year? And then secondly, was that lost to a large international player or a smaller player? And then if you could elaborate on the - you said they were offering a different value proposition, does that mean the type of services you provide or the way the contract is structured or something else? Just if you could give a little bit more color on that.
Eric Foss: Sure. Well, as we talked, and I’m not going to give a lot of specificity. But the fact is that the reason why we lost it was the - I’m going to say the contract structure. So it had to do with a variety of things - the booking of revenue, how the contract was structured and certain things that we were not willing to do to retain the business. It was not to one of the global players. It was to a smaller player in the SME world.
Denny Galindo: And did that affect Q1?
Eric Foss: No, not - as I’ve mentioned I think in my comments, the majority of that impact will be in Q3 and Q4. I would also add that while it is about 1% of our revenues, its margin structure was below our average margin. And so just order of magnitude, in terms of the level of profitability it’s a little more diminished.
Denny Galindo: Thank you.
Fred Sutherland: And just to add to that, as Eric said, the sales are pretty much on the back half of the year and split between the third and fourth quarters. Roughly a third of the sales are in the third quarter. And about two-thirds of the sales would normally be recognized in our fourth fiscal quarter.
Operator: And now we’ll take our next question from Andy Wittmann from Baird.
Andy Wittmann: Hi, guys, thanks for taking my question. I wanted to dig into the productivity initiatives. Eric, specifically, I want to understand the comments in the Press Release and from your prepared remarks and how the timing of these productivity initiatives affected the profitability in the quarter. And then just digging into some of the specific initiatives, you mentioned that you talked about labor scheduling in your organizational chart at the unit level and the food waste. These are all areas coming out of the IPO that were, I’d say, in the crosshairs of things that you identified as the opportunities. Frankly, those are obviously the big cost areas of the business. But at that time, coming out of the IPO, you’d announced or talked about that you tested a lot of these initiatives. Can you just talk about where we are on that road where it was testing then and then as being more broadly rolled out now and what’s this window or cadence of rolling out these initiatives? How long is that going to take? And how should we be thinking about that?
Eric Foss: So I think we’ve been pretty consistent. Let me give you my point of view on where we are. I think we said, consistently we’re very much in the early innings of the rollout of these productivity plans. I think what we said is really up through the end of 2014, the majority of our focus on cost savings was focused on SG&A and that we had a variety of span and layer work and a variety of things we were doing to try to consolidate some of the shared services into Nashville and that that was the majority of the cost savings as we came out of 2013 and obviously 2014 as well. As we go forward and I think as I said in my prepared remarks, we are now starting to pile it a lot more of the food and labor initiatives. And again, the majority of our focus right now from a labor standpoint is really focused on overtime and agency labor in making sure we can schedule labor properly. And then the second dimension of that is on the food side. And again, the majority of our focus on the food side is to make sure we’re focused on managing waste. So as I talked about some of the pilots that we have in place in Q1, those have not been rolled out broadly. They will as we come out of pilot, be rolled out. But to a large extent, you’re going to see our 2015 focus be in the area of overtime and agency labor management as well as waste on the food side and obviously continuing on SG&A. So early, early innings. We are not addressing the holistic opportunity yet. Again, as we get into the in-unit dynamic, we want to make sure we’re not disrupting the customer service experience. So we’ll be very planful, but again, we remain with a very high degree of confidence and conviction on our ability to continue to drive margin improvement in 2015.
Operator: And we’ll now take our next question from Stephen Grambling from Goldman Sachs.
Stephen Grambling: Thanks and good morning. My first is for Eric and I have a follow up for Fred. And to piggyback on the questions on margins, is there any reason you can’t converge the margin gap longer-term with campus whether its North America or international from a structural standpoint? And the second for Fred, is there an opportunity to actually refinance any of the debt particularly the $1 billion callable this year? And at what rate do you think you could get it?
Eric Foss: Sure. This is Eric. Let me take the first one. There’s no reason for us not to set our sights on achieving industry-leading margins. So I mean that’s as simple as I can state it. We’re in the early innings and we have every intention to continue to drive margin improvements so that we’ve got industry-leading margins over time.
Fred Sutherland: On the $1 billion, I assume you’re referring to the $1 billion of five and three quarters.
Stephen Grambling: Correct.
Fred Sutherland: And there is a - it is callable. The premium is pretty steep right now. I think it’s 4.5%. So there’s no question at this point that we could refinance it at a somewhat lower rate. But the payback if you will along that call premium is a number of years. So at this stage, it’s not something that we’re actively pursuing, but we are watching it.
Operator: And we’ll now check our next question from Manav Patnaik from Barclays.
Unidentified Analyst: Hi, this is actually Greg calling on for Manav. I just want to ask about the uniform business where some of your competitors are showing some nice growth. So I just want to hear what you guys are seeing in the competitive environment and when you expect those investment and plan capacity to start driving growth acceleration?
Eric Foss: Sure, Greg, it’s Eric. Well, we were happy with our uniform business. Again, it was a quarter that showed 3% top line and double digit profit improvement. We’ve continued to focus on the margin opportunity there. And again, a very strong and significant margin expansion that we showed as a result of our productivity gains in Q1 that comes off a year in 2014 where we showed 70 basis points on margin improvement. So expect us to continue to dribble with both hands, both in terms of the top line growth in the margin expansion. I think as we look forward, as Fred mentioned, one of the things that have impacted our growth a little bit were some of the strikes on the West Coast and in the ports. Hopefully, that will alleviate itself and we continue to feel like from a uniform perspective, this is a mid-single digit growth business for us. So that continues to be how we view that business.
Operator: And we’ll now check our next question from Sara Gubins from Bank of America.
Sara Gubins: Hi, thanks. Two quick ones. First, could you talk about that pricing environment? And second, when we think about margins and margin expansion, is this phase of transformation harder to implement than the one that you’ve already completed? Thanks.
Eric Foss: Sure. Relative to your last question, I think there are more moving parts. But again, I think the reason why I’d say it’s not more difficult is our planful approach to this. So the fact is from an SG&A standpoint, you don’t have to do a lot of piloting. As you get into food and labor, it’s important that you pilot, you understand and have those learnings before you enter rollout mode. But I think, again, there’s just a high degree of confidence in our ability to do that. I don’t know how else to state it. I’ll probably keep saying, we have a very high degree of confidence in that. From a pricing standpoint, again, we think the pricing environment is pretty, pretty stable. We did see our base business grow in Q1. We did see pricing. So our whole approach to pricing is to make sure we’ve got the right quality and convenience offerings, so let’s call it value beyond price. Again, it’s critical for us to make sure that we don’t eat margin and make sure that we’ve got pricing to offset any inflationary pressures. And again, it’s very important for us to make sure we use these consumer insights that we talked about with our clients to make sure we’re helping them make the right decisions for our ultimate consumers. So you’ll see us continue to talk about pricing. It’s a skill and capability that we think the industry has opportunity. And we certainly as a company have opportunity to ramp up our skills in this area. But overall the pricing environment continues to very stable.
Operator: And we’ll take our next question from Imran Ali from Wells Fargo.
Imran Ali: Good morning. Thanks for taking my question. Just in terms of margin seasonality across the three segments, how representative have the last couple of years been? In other words, is the margin seasonality in 2013 and ’14 what we should expect to see for the business going forward?
Fred Sutherland: The seasonality isn’t really all that different year-to-year. Margins tend to be somewhat higher in the beginning of the year because education margin is higher than sports and entertainment margin. But the quarter-to-quarter compared one year to the year isn’t all that different. We do, as I pointed out earlier, that we do have this negative impact on margin of the calendarization. But I think we’ve given enough information on the adjustment to the top line and the bottom line [indiscernible] adjust for that.
Eric Foss: And I think the other thing we have said repeatedly is where you will see some quarter-to-quarter changes is as we onboard the new business. So again, there is some dimension of the new business and how that cycles on to Gary’s question earlier that can impact the quarter-to-quarter margin impact.
Imran Ali: Okay, great. Thanks very much.
Operator: And we’ll now take our next question from Gary Bisbee from RBC Capital Markets.
Eric Foss: Hi, Gary.
Gary Bisbee: That SG&A expense was up quite a bit. Is that sort of a new level adding in the new business one or is there some of the IT and other investments to prepare for phase 2 of the margin that maybe is in there that doesn’t persist?
Fred Sutherland: When you say SG&A, are you looking at the full as reported P&L?
Gary Bisbee: Yes, exactly.
Fred Sutherland: Are you looking at the --
Gary Bisbee: Yes, I was looking more at the P&L. And maybe that’s also just the timing shift in there as well. But it was up in dollar terms like almost $20 million I think versus last quarter and versus the run rate - $15 million or $20 million versus the run rate throughout all of last year.
Fred Sutherland: Yes, and the P&L, the full as reported P&L, I believe that the SG&A is actually down, right? And the segments, what we call corporate, is up a bit - a few million dollars. It has to do with the timing of IT spend.
Gary Bisbee: Okay, all right. I guess I had backed out --
Fred Sutherland: If you look at the --
Gary Bisbee: -- the one at the - if you back out the non-recurring items, it looks like it’s up quite a bit. But --
Fred Sutherland: Yes. The challenge, I think, Gary is that some of those non-recurring items on the non-GAAP schedule, some of them fall into SG&A and some of them fall into cost of services provided.
Gary Bisbee: Okay.
Fred Sutherland: So for example, we had a loss last year on the McKinley divestiture. Okay, that was in cost of services provided. It’s not in SG&A. So I think that’s a hard conclusion to draw.
Eric Foss: And, Gary, I don’t know if this helps. But let me just try to dimensionalize maybe a little bit of kind of the margin build, if you will. I think if we look at our margins in the quarter, I think where we saw favorability to prior year was in the area of food as well as the SG&A bucket. And then where there was more pressure again because of these startups was on the labor line. So I think if you want to think of those three buckets, think of SG&A favorably, think of food favorably and think of labor, as a result of some of those startups, is unfavorable. Does that help?
Gary Bisbee: Yes. Yes, that’s good. Thank you.
Eric Foss: Okay.
Operator: And we’ll now take our next question from Flavio Campos from Credit Suisse.
Flavio Campos: Hello, thank you for taking the follow-up. I just wanted to ask a little bit about the international business that saw very strong growth in the first quarter. If you can, just give some detail on the breakdown regionally or by - on market [ph] where you’re seeing the greatest growth here. I know business is the biggest category here, just some color on the geographics bit.
Eric Foss: Sure. Well, as you said, we were very pleased and saw our international results were very, very strong. I think the good news is you can look at almost all geographies - I mean our Europe business had a very good first quarter showing organic growth of about 3%. When you step beyond Europe, you can look at both our South America business and our emerging markets business broadly growing high single-digit. You can look at our business in China that was up double-digit. So I think our international business in total not only showed great revenue growth but also showed consistent double-digit profit growth across geographies as well. So we were very pleased with our international results and continue to see strong momentum both across Europe and the emerging markets.
Operator: And we will now take our next question from Denny Galindo from Morgan Stanley.
Denny Galindo: Hi, I had a couple of quick follow-ups on energy. Number one, just to make sure I understood you correctly, the 5% or less than 5% exposure you said was to remote customers. Does that include the corporate offices of energy majors or companies like Schlumberger, Baker Hughes, Halliburton or is that just the people actually out there in the field doing the drilling? And then the second question is --
Eric Foss: So --
Denny Galindo: Okay.
Eric Foss: No, go ahead. Sorry, go ahead.
Denny Galindo: Yes, and then secondly, just did the lower fuel prices contribute to the margin improvement in uniform?
Fred Sutherland: Okay. So to answer your first question, the amounts that we referred to are essentially sales in our remote services business. So it would not include sales - what we would call business volume sales, say if we go into corporate headquarters. And that’s not a huge part of our business overall. We do have some uniform clients. We do business in Texas and West Texas and so we certainly have some uniform clients as well that are energy-related. But the numbers that I’ve talked about are remote business.
Denny Galindo: Okay, thank you.
Operator: And we’ll now take our next question from Andy Wittmann from Baird. Please go ahead.
Andy Wittmann: Hi, guys. With the Live Nation headwind and the oil and gas headwind on the top line and the outlook being substantially unchanged, Eric, I was just curious as to what the offsets were on the top line. Was it better sales in the first quarter or other growing businesses? Can you tell us about what the offset might be on the top line, because those other ones are new?
Eric Foss: Sure. I think a couple of things. One, again, we start with the position that we’re encouraged by the new business pipeline that continues to look very attractive to us. The difficulty there is predicting how that business will ultimately make the ultimate conversion decision. So we don’t control the timing while the pipeline is encouraging. But that’s one dimension. I think the other dimension is for us to put some pricing contingencies in place. And then again, to - those would be the primary two I think - pricing and as well as how we anticipate some of the new business coming to market.
Fred Sutherland: And remember, when we talk about our organic growth outlook, we don’t talk about it as a point estimate. We talk about it as a range.
Operator: [Operator Instructions] And we’ll take our next question from Andrew Steinerman from JP Morgan.
Andrew Steinerman: Hi, I just wanted to go over the effect in the March quarter of the signing of the calendar on a revenue and profitability basis.
Fred Sutherland: Okay. It’s pretty much as we laid out in the fourth quarter press release. So it’s 1% to 2% on the top line and 2% to 3% on the operating income line.
Andrew Steinerman: Positive?
Fred Sutherland: Yes.
Andrew Steinerman: Okay, thank you.
Operator: And we’ll take our next question from Gary Bisbee from RBC Capital Markets.
Gary Bisbee: Hey, I promise this will be the last one. But it dawned to me, one thing we haven’t heard a lot since the IPO was you’ve talked about the opportunity over the longer term to leverage the consumer preference research you’re doing to find opportunities to grow the bakes [ph] business, whether that’s better merchandising or other - just can you give us an update how that opportunity is playing out and if that’s more ahead of you than stuff you’ve achieved to date? Thank you.
Eric Foss: Sure. Yes, I think to your point, Gary, I mean we really were starting, I’m going to say, from kind of a standstill position on this topic. So one of the first things we did and continue to do is to add insights capability. That’s everything from clearly defining our right to win and how we compete. Second thing we’re trying to do is create an opportunity and really create a process by which we bring innovation to market. And so you’ve seen us partner with some of our key brand partners, Starbucks, Panera and others, as well as some of the things we’ve gone on our own. We’re early innings still relative to the brand and what we’re trying to do there. And while we’ve seen early improvements in our brand equity, this is something that, relative to investing behind any brand and building any brand, takes time. And so I think you’ll continue to see us - again, we were encouraged by the brand recognition we received in sports and entertainment. But the fact is is this is a multiyear run. This isn’t something you flip the light switch and immediately the next quarter or even the next year begin to see tangible payoffs. The other dimension I would mention relative to kind of marketing and branding is we think there’s a real opportunity in this whole area of pricing. And so I think the combination of brand building, innovation, pricing and consumer insights are things that were, again, all in the process of starting up over the last six months really. And we’ll continue to talk more about it. But right now, we’re just in the startup mode period.
Gary Bisbee: Great. Thank you.
Operator: And we’ll now take our next question from Stephen Grambling from Goldman Sachs.
Stephen Grambling: Hey, thanks for the follow up. I think Fred you talked about a reduction in the debt ratio prior to acquisitions. Can you just provide any other color on how you think about acquisitions and maybe in where private multiples are now?
Fred Sutherland: Sure. Our acquisitions are really opportunistic as you know. We don’t look for and foremost to acquisitions to drive overall growth. That’s not part of our organic growth equation and not part of the 3% to 5% target. Having said that, we continue to be interested in expanding selectively through acquisition in a few target countries in the emerging markets area where we think there’s opportunity. We are always interested in expanding our uniform business. As you know, there are very many, lots and lots of small players in that business. And I think also expanding our facilities business which is part of big North America Food and Facilities business. So I’d say those are the general areas of focus. I’d say the multiples are pretty stable from a year or so ago. I mean it’s not unusual to see EBITDA multiples in the high single digits. Perhaps in an emerging market that’s a fast growing market, maybe higher than that. Obviously, you also have to look at the synergies and what sort of multiple you can turn that into as you affect the synergies.
Stephen Grambling: Great, that’s helpful. Thanks so much.
Operator: And with no further questions, I would now like to turn the call back over to management for any closing comments.
Eric Foss: Great. Thanks, Randy. And again, thanks, everybody, for your time and energy. And we look forward to talking to you at the end of Q2. Thanks very much.
Operator: Thank you for participating and have a nice day. All parties may now disconnect.